Søren Skou: Good morning, everyone, and thank you all for listening in on our earnings call for the first quarter of 2020. My name is Søren Skou, and I'm the CEO of A.P. Møller - Mærsk. I'm pleased to be joined today by Patrick Jany, who has joined us as our Group CFO. Now before I go into the details on Q1, I would like to dive a little bit deeper into our strategic transformation and to review how the numbers have been playing out since we changed our strategy in 2016. At the time, we were challenged by declining revenue, low profitability, low free cash flow and high financial leverage and in a combination with low and volatile oil prices and freight rates and a terminals business that was doing significantly worse than its peers, which all of these factors combined put our company and conglomerate on a high risk. We set out with the aim of putting the company onto a new profitable growth trajectory and decided then to transform Mærsk from being a conglomerate to -- with diversified interests in oil and oil services, shipping and logistics and so on, to a global leader in container logistics building on our strong position in container shipping, ports and landside logistics; in other words, to become the global integrator of container logistics. This slide show the financial results of our strategy so far and the efforts towards increasing earnings, cash flow and reducing debt. And as CEO of A.P. Møller - Mærsk, I'm pleased with the developments we can show you here over the last 3.5 years. The numbers on this slide have been adjusted for IFRS 16 on a high-level basis, so they are comparable. And it's clear to see the trends in the numbers that we have improved significantly. Also, I have to say feedback from our customers prove that we are doing the right thing in terms of the integrator strategy, and I'm proud to show that all the numbers are moving in the right direction. It's our clear ambition, and we believe that we can, add further fuel to our engine over the coming years, bringing us up to our long-term return on invested capital target with this strategy. Focusing on profitability. High cash conversion and staying CapEx disciplined is the key driver behind the positive development in the numbers. And combining that with our strategic transformation will further improve our returns in the years to come. So I can conclude that, 3.5 years into this journey, we are absolutely convinced about our strategy and that we are on the right track. Operating earnings, as you can see on the graph in the upper left-hand corner, is up around 60% since fourth quarter of 2016 on a last 12 months basis. We are generating more than 4x as much cash flow, free cash flow, compared to the fourth quarter of '16 on a last 12 months basis. And the cash return on invested capital has almost quadrupled since the fourth quarter of 2016. And we have also, as you can see in the lower left-hand corner, managed to significantly deleverage the company, even including the fact that we have acquired Hamburg Süd in end of 2017 and we have paid out significant cash distribution to our shareholders. The improvements are broad-based in our company, across Ocean, land-based logistics and our infrastructure business in Terminals & Towage; and are driven by significant improvements in the customer satisfaction and by our integrator vision. We have achieved these results in a period where we have been negatively impacted by cyberattack in 2017; geopolitical and trade tensions throughout 2018 and 2019; and so far in 2020, a pandemic combined with a very costly fuel switch in the first quarter of 2020. That suggests to me that our earnings slowly but surely are becoming more resilient and less volatile and that the industry is becoming more stable. We are no longer a conglomerate. And our company look very different today, so does the industry we operate in, global container logistics. Carriers have consolidated and the alliances have demonstrated great ability -- agility in terms of adjusting supply to demand. And with maersk.com as our transaction vehicle, and online products like Maersk Spot product, we are pricing based on utilization curves, with upwards-sloping yield curves which show that we get better yields as a result. It's very similar to what airlines successfully have done for years. And on the terminals side, we have seen great results from thinking as one company, increasing utilization on our own terminals and establishing clear evidence that terminal operators affiliated with a carrier have a stronger model. And finally, on the logistics side we see more and more evidence that our customers want to buy integrated solutions from those that control the assets and can control and affect outcomes. We still have some way to go, but as I said before, we are pleased with the progress over the last 3.5 years. We are now, as everybody knows, in the middle of a pandemic, a pandemic storm. I believe we are well placed to weather this storm from a balance sheet and liquidity point of view. We will keep doing what we are doing. We will continue to progress on our transformation this year, including our digital transformation. And we will grow our landside logistics businesses. And in Ocean, we will continue to match capacity to demand in an agile way to ensure we keep our costs low and support our customers' global supply chains at the same time. And finally, we will continue to focus on profitability, being CapEx disciplined and delivering a high cash conversion also in 2020. Now let me go to the first quarter. Firstly, I will look at the highlights for the quarter. Our revenue increased slightly, driven by Ocean, even though we did -- we faced a decline in volumes in all parts of our business due to the pandemic. However, despite the headwinds we faced on volumes and the sharp increase in fuel costs, we had to absorb. We improved EBITDA by 23% to USD 1.5 billion, mainly driven by Ocean due to the higher freight rates, cost improvements from agile capacity management and from positive impacts from our self-supply strategy on the new fuel type to comply with IMO 2020. And I'll talk more about that later. As EBITDA improved significantly on the back of almost unchanged revenue, our margin increased 3 percentage points to 15.9%. Our free cash flow, after capitalized leases, increased 17% to $500 million. And we managed to push our CapEx spending further down, both from the already implemented capital discipline and further fueled by protective measures towards cash flow from the pandemic impact. Return on invested capital over the last 12 months increased to 3.8% from 0.6% last year due to higher earnings and a slightly lower invested capital. And now I would like to say a few words about the subject that almost have been drowned out in the COVID-19 attention and a subject that was actually the single highest risk for our 2020 earnings when we ended the year and the subject of much conversation then, which is the change to the new IMO 2020-compliant fuel that we did on 1st of January. We had a clear strategy for the switch in terms of the physical switch, cost mitigation and in terms of the conversion strategy to have our customers pay for the extra cost. And we have been able to execute on that strategy flawlessly, so far, despite the very weak supply-demand picture we saw in the first quarter. This comes from close collaboration between our operational team, our sales force, customers and our self-supply strategy facilitated by our oil trading unit. Adding the numbers for Q1 2020 shows a great resilience in the first quarter towards negative impacts, but we managed to take out capacity even more than our volumes declined. Despite Q1 exceeding the expectations and showing good resilience, the full year guidance remains suspended, as there is such a high level of uncertainty towards the demand, the freight rates and the oil price, just to mention a few. The visibility is extraordinarily low, but we do expect to see volume declines in the area of 20% to 25% across all our businesses in the second quarter. Now on to the strategic transformation update. It resembles the developments we realized in our financial highlights. On the strategic development, we see the COVID-19 situation confirms that our strategic direction to become the global integrator of container logistics is the right one. And we are becoming more relevant to our customers than ever before and supporting the global supply chains. Through a combination of higher earnings and lower CapEx and slightly reduced invested capital throughout the last 12 months, cash return on invested capital increased to 10.5% from 7% last year, in the first year -- in the first quarter last year, confirming, I believe, our ability to generate a high free cash flow from invested capital. Revenue declined 6.5% in our infrastructure and logistics activities, which mainly is due to the COVID-19's negative impact on volume. However, almost 1/3 of the decline is due to less construction revenue in our terminals. And the construction revenue is associated with negative or 0 EBITDA, so it has a margin-enhancing impact on the profitability of our gateway terminals. However, profitability in our logistics business, excluding the freight forwarding activities, increased by 50% despite the negative market conditions, as we have been driving a strict profitability focus, especially in our intermodal business. And we have increased activity in warehousing and distribution. I'd say we are simply getting more focused on running our $6 billion L&S business better, and therefore we're also getting better at it and showing better results. We are pleased that we did the Performance Team transaction. It closed on the 1st of April. And we are excited about the potential this brings to our warehouse and distribution activities and how we can offer our customers a better service and in particular in North America. Now on COVID-19. There's no doubt that the lockdowns in most of the world has already led and will continue to lead to significantly lower demand. It will affect all parts of our business and our top line. We therefore have cost initiatives in place to mitigate as much as we can for the negative impacts from declining demand. Our cost initiatives include already planned cost reductions as part of the continuous optimization of our cost base, some of which have been accelerated; and some new cost initiative which are the direct implication of the pandemic. The main cost levers include our variable costs in Ocean from reduced capacity via blanked sailings and idling capacity. In the first quarter, we canceled 93 sailings, and we have planned so far for more than 130 in Q2. And we will take further initiatives on capacity, depending on how demand will be, so that we match supply with demand and can still serve our customers while we take out the cost. In the second quarter, we will also benefit progressively from the sharp drop in fuel cost we experienced in the first quarter and see a sharp decline compared to the, yes, compared to the first quarter. On the SG&A side, we are scrutinizing all spending and costs associated with labor. And we also -- we've done hiring freezes and travel bans and stopped training and generally minimizing everything that we can. We are reviewing IT spending, and we will be lowering the absolute number and the trend from previous years. And then to protect our cash flow and credit rating, we are looking at the net working capital and CapEx spending. We are taking steps to lower CapEx in 2020. However, it's worth mentioning that we have been on a clear path towards delevering the company since our debt level peaked by end of 2017, so we today have lower debt level than we have had for a long time. And a strong balance sheet and liquidity profile with a liquidity buffer of more than $9 billion and an EBITDA-to-net debt of 2x over the last 12 months, we are financially prepared to weather the crisis. So as also reflected in the guidance suspension, the financial impact and our efforts in response will depend on the shape of the recovery. And now I will hand over to Patrick Jany, who will review the financial highlights.
Patrick Jany: Good morning to all of you also from my side. It is a pleasure to be here today and present the financials for Q1 2020. Turning to Slide 9. We reported a small revenue increase in Q1 2020 driven by Ocean and despite lower demand due to COVID-19 implying lower volumes in all businesses. Our continuous focus on improving profitability by a combination of pricing discipline, costs and capacity reductions led to a 23% increase in EBITDA and an improvement in the EBITDA margin of 3 percentage points to 15.9% from 12.9% a year ago. All business segments contributed to this increase in profitability, which is remarkable. EBIT increased 73% to $552 million compared to $230 million in Q1 2019, leading to an EBIT margin of 5.8% compared to 2.4% last year. As a consequence, we actually reported a gain of $209 million compared to a loss a year ago, and the underlying profit was $197 million compared to a loss of $69 million last year. Slide 10 shows that we continue to be disciplined in our CapEx and that we have taken additional measures to further reduce the amount spent. Our CapEx was only $310 million in Q1, which is 61% reduction compared to last year where the figure was USD 788 million. For 220 -- for 2020 and 2021, we still guide for accumulated CapEx excluding acquisitions to be in the range of USD 3 billion to USD 4 billion and are working to shift the phasing of those CapEx more into 2021 in order to increase the financial headroom and adapt to lower demand. The key for this flexibility is the total contractual CapEx commitments that amounted to only $1.6 billion by the end of the quarter, down from $2 billion a year ago, of which the majority relates to long-term concession agreements in terminals. Slide 11 shows that the CapEx discipline was essential in achieving an increased cash flow. Due to the working capital buildup in the quarter mostly due to an increased accounts receivable, cash conversion was only 80% in Q1. Consequently, cash flow from operations was $1.2 billion, down from $1.5 billion a year ago. Please note that we had an exceptional strong cash conversion in Q1 2019 of 120%, which worsens the comparison. However, due to the strict capital discipline, CapEx declined significantly, which led to a 17% increase in free cash flow to $506 million from $431 million last year. As a reference, the free cash flow is calculated after lease payments of $455 million in this quarter, slightly up from last year's $438 million. Turning to Slide 12. The net interest bearing debt increased slightly this quarter to $12 billion, as the increased earnings was offset by negative effects from net working capital, as mentioned previously, but also dividend payments and the share buyback executed this quarter. Of the net interest-bearing debt, $8.4 billion is capitalized leases, which is slightly down from year-end where it was $8.6 billion as our capital discipline also includes leases. This level of net debt, combined with a favorable maturity profile and ample liquidity headroom of $9.2 billion at the end of the quarter, underlines the financial stability of the company. Slide 13 recaps the financial information we have seen. The improvement of profitability achieved in all businesses translated into an improved profitability and net income level, as our income from joint venture and associated companies, finance costs and taxes were fairly in line with previous year. Our net financial costs in particular were down slightly mainly because of our gross debt level, which has decreased over the last year, and despite the fact than in Q1 last year we received dividends from the shares of -- in Total for $12 million. This solid profitability underlines the progress made in implementing our strategy. I will now hand over to Søren, who will take you through the segments.
Søren Skou: Thank you, Patrick. I think there's quite a positive story for Ocean in this quarter, and it's three dimensional. And first of all, we have ensured that freight rates were increased to compensate for the increase in fuel prices as a result of IMO 2020. Then we have been very successful with our self-supply strategy for the supply of compliant fuel, ensuring that we have the availability and the quality of the new fuel type. And lastly, agile capacity management in response to lower volumes due to the pandemic has ensured significant network and handling cost savings. Revenue was up 3.1% despite a 3.2% volume decline as freight rates increased and other revenue increased. Freight rates have stayed above the levels seen a year ago throughout the quarter, as not only us but the industry has been very agile in terms of adjusting capacity to demand.  EBITDA improved 25% mainly due to the higher freight rates but also due to cost improvements. And we have seen during these past couple of months our digitized products have increased the relevance for our customers, incredible increase in usage of our mobile app. And Maersk Spot, our digital spot product, gained further traction and has increased 24% since Q4 '19 measured in load volumes. It today accounts for an average of 40% of all our short-term business, and last week, we set a new record at 45%. We have created this EBITDA bridge to explain the results. As you can see, the higher freight rates had a positive effect of $368 million, which should be compared to the increase in bunker prices of $339 million, confirming that we have been able to fully compensate the effects from IMO 2020 in this quarter. The lower volumes lead to a negative EBITDA effect of -- the 3.2% lower volumes lead to a negative EBITDA effect of $125 million, which includes the positive effects from the lower handling costs and network. In addition to this, we have reduced the container handling cost and network cost, including bunker consumption, by around $248 million. On this Slide, we have also separated out the impact from unrealized gain on derivatives on inventory hedges of $141 million, which, and I would like to underline this, is purely a timing effect. And it reflects the negative effect we are expected to see on the value of our fuel inventories from the drop in oil prices. Assuming oil -- assuming fuel prices should move up again, we will see the reverse impact with negative unrealized losses from derivatives offset by increased value of the inventories. What is going on is that, our self-serve strategy to supply around 50% of low-sulfur fuel from blending and producing it ourselves to make sure we have the volume that we need, that -- in order to do that, we buy crude and we buy the blending components and transport them to our facilities, manufacture the fuel and then distribute it to our ships. That takes 2 months. We carry an inventory -- risk on the inventory in those two months. And in order to neutralize that inventory, we swap the oil price when we are buying inventory so that, when we distribute oil to our ships, it is always on the market price of the day. So now turning to Slide #16. There you can see that we have for some years been talking about IMO 2020 approaching and that, that would mean not only a new fuel type but also higher costs. We've had for a long time said that we would want to increase freight rates to compensate for the costs, and we have done that, increased freight rates in the quarter by 5.7% or about $100 per FFE, driven by increased freight rates on North-South and East-West. And adjusted for the increased bunker price, the freight rates have declined marginally. When it comes to renegotiations of our contracts for both Asia-Europe and Pacific, we have signed up the planned volume with rates fully covering the IMO 2020 fuel cost. We have not seen any negative impact on the tenders from COVID-19 and with customers focusing even more than usual on reliability and trusted partnerships. The volume declined 3.2% during the quarter largely due to COVID-19. It was led by a headhaul decline of 4.6%, whereas backhaul in Q1 was less affected by the pandemic. East-West was naturally worst hit, as it was already impacted from February with the Chinese extending Chinese New Year holidays and the following lockdown in several regions. Intra-regional growth was led by intra-Asia, as in the past couple of quarters the increase in intra-regional volumes impacted the development in the overall freight rate through mix changes. Now moving on to capacity management. Our total operating cost increased 5% during the quarter, 5.2%, due to the higher bunker prices and higher cost of goods sold of bunker fuel. However, we have been keeping an agile approach to capacity management in response to the decline in demand, and this has led to an average capacity declining 3.5% and thereby declining handling and network costs. This led us to a cost decline in these 2 costs of $244 million alone, as illustrated in the EBITDA bridge earlier. This will be key to mitigate the negative impacts of COVID-19 also in the coming quarters. Also, given the blanked sailings, our bunker consumption declined 7.5% compared to last year, which meant that our total bunker costs increased 22% during the quarter, while the average bunker price increased 32% during the quarter due to IMO 2020. Despite the decline in volumes, we are pleased that the unit cost at fixed bunker decreased 2.3 percentage points due to the decline in variable costs from the capacity, confirming our ability to reduce costs by lowering the capacity and keeping the utilization higher on the remaining deployed vessels. On Slide 18, we turn to Logistics & Services that reported a revenue decline of 5%, 5.1%, due to COVID-19 impact on revenue; especially in intermodal and sea freight forwarding was negatively impacted. However, despite the decline in revenue, gross profit increased almost 9%, and we saw improvement in our old intermodal and in the warehouse, distribution business. And we're still on the upward-going curve in terms of, call it, developments on gross profit margin as we have seen over the last 2 years. EBITDA increased 42%, and the EBITDA margin increased to 4.7%. As already mentioned, the acquisition of Performance Team closed on the 1st of April. And we will more than double the combined warehousing and distribution presence in North America and bring scale and expertise for our customers. As mentioned, the positive trend in the gross profit margin continued in this quarter with an improvement of 2.7% to 21.2%, which is mainly due to the strong growth in -- and profit in intermodal. We have been working consciously on downscaling in the regions where we have negative margins and growing in the profitable regions and continued overall focus on margin optimization. Our warehousing and distribution facilities in North America also contributed to the higher gross profit. Unfortunately, we experienced declining profitability in supply chain management and sea freight forwarding due to COVID-19 related basically to lower activity. EBIT conversion improved to 9.4% from 6.1%, so still some room for improvements but of course negatively impacted by lower activity levels. We are analyzing the opportunities to reduce  SG&A costs further to mitigate the impact of COVID-19. While we continue to improve our ability to run our logistics and service business and thus our margins, we do not yet have the growth and margins we need. And we have added new leadership talent across our logistics business to drive further improvements. At the senior level, most recently, [Didlier Bliger] and Aymeric Chandavoine, both from executive positions with large global logistics companies, have decided to join. Now on Page 20, we turn to Terminals & Towage, where revenue declined by 9.3% but EBITDA increased by 2.6%, with a margin of 30.3%, due to improvements in both our terminals and towage profitability. EBITDA in gateway terminals was on par with last year at $213 million, but the EBITDA margin increased by 3.3 percentage points to 28.7%, positively impacted by lower construction revenue compared to the first quarter '19, which contributed to the higher margins overall. And in EBITDA -- EBITDA in towage increased 14% to $64 million mainly due to higher activity, early termination fee in Angola and the newly acquired Port Towage Amsterdam in the Netherlands. Now turning to the next slide. Volumes declined 2% on a like-for-like basis, as volumes in North America decreased by 15% mainly due to COVID-19 impacts, while volumes in Asia decreased 6% mainly related to Japan. We continued to see growth in Latin America from the ramp-up in Moin, Costa Rica. Utilization decreased 8.6% due to lower volumes and further increasing capacity in Moin and Port Elizabeth. As highlighted, we expect that volume in gateway terminals will decline even further from Q2 2020 on the back of the global lower demand from COVID-19 and the collapse in oil prices affecting some countries on the import side. Measures to reduce capacity such as opening hours are being discussed to reduce the costs. I am really satisfied with the margin improvements we have seen in Terminals & Towage over the past couple of years contributing strongly to the overall performance of our group and partly from terminals having closed a large part of the gap in terms of margin to peers. Now on this slide we show the equity-weighted EBITDA for our gateway terminals, both consolidated joint ventures and associates, which is on par with Q1 2019, of $310 million, with a negative impact from Apapa due to operational changes, lower volumes in North America and China, offset by the ramp-up in Moin and Tema in Ghana. In the last 12 months, the total equity-weighted EBITDA was $1.313 billion, up close to 10%, of which joint ventures and associates contributed with $554 million. The cash contribution through dividends from joint ventures and associates in the last 12 months has been $176 million or 32% of the EBITDA, with a payout ratio of 86% of the net result. It is slightly lower than what we reported last quarter, but that is due to the fact that we mainly received dividends from JVs and associates in the fourth quarter, so it is seasonality impacts and not COVID-19 impacts. On Slide 23. First, we'll remind you that Maersk Oil Trading is now included in Ocean, but the numbers here are, of course, restated. Revenue in Manufacturing & Others declined 23%, as the bulk activities taken over as part of the Hamburg Süd transaction were divested in January 2019. However, EBITDA increased fivefold, as Q1 last year had restructuring costs of $31 million. Revenue in our container factory, Maersk Container Industry, decreased due to required shutdowns of the factory in Qingdao during the quarter because of the coronavirus, but EBITDA still managed to increase by $14 million. Maersk Supply Service improved EBITDA to $14 million, reflecting higher rates and cost initiatives. Restructuring initiatives was announced last week, as the low oil price has negative impact on the overall activity. And now I will hand back the microphone to Patrick Jany.
Patrick Jany: Thank you, Søren. As you all know, A.P. Møller - Mærsk suspended the full year guidance for 2020, which was an EBITDA before restructuring and integration costs of around $5.5 billion, on the 20th of March 2020 due to the global COVID-19 pandemic which is leading to material uncertainties and a lack of visibility related to the global demand for container transport and logistics. The high uncertainties related to the outlook and the impact of COVID-19 persist, and therefore the suspension of the full year guidance on EBITDA remains. Significant contraction in global demand is expected for Q2, with volumes expected to decrease by 20% to 25% across all businesses, affecting both the profitability and the cash flow in the quarter. The global market growth in demand for containers is expected to contract in 2020 due to COVID-19 and previously was assumed to grow 1% to 3%. Organic volume growth in Ocean is therefore expected to be in line with or slightly lower than the average market growth. The accumulated guidance on gross capital expenditures, excluding acquisitions, for 2020 and 2021 is still expected to be USD 3 billion to USD 4 billion with steps being taken to reduce CapEx in 2020. High cash conversion measured in cash flow from operations compared to EBITDA is expected for both years. And with this, we will open for questions.
Operator: [Operator Instructions] Our first question comes from the line of Parash Jain from HSBC.
Parash Jain: Gents, I have 2 questions, if I may. First, on outlook going into the rest of 2020, can you help us understand? When we -- as you mentioned in your presentation that second quarter is tracking at around 20%, 25%, how should we think about utilization? Given probably low-teen idle fleet and approach of blanked sailing, where are the utilization levels? And in your interaction with customers, do we sense that they have existing level of inventory already remains either at the port or their warehouse because of COVID-19 and, going into the peak season as and when lockdown eases, those customers will run-down their inventory first before the global trade resumes? So I just wanted to get a sense on how the third quarter volumes will track compared to second quarter at this point of time, whatever visibility you may have. And my second question is if you can remind us the relationship between dividend, buyback and, on the other extreme, your ability to defend the investment-grade rating; and at what level of EBITDA trend we may expect that you will protect your investment-grade rating at the expense of dividends and buybacks.
Søren Skou: Okay, I'll let Patrick answer the second part of your question, around dividends and buyback and rating. What I will start by saying is that we have guided a market outlook with a significant drop in demand in the second quarter. It's consistent with April, where we have seen a drop in [volume of just on the 20%]. We will, of course, see where the quarter ends. It is our aim and we believe we can, pair that almost one to one with reduced capacity in our network so that we take out as much costs as we possibly can. And in terms of your questions to customer inventories and what the customers will do, I think the visibilities is very low here. And one of the reasons for why we are not guiding for the whole year is that it's unclear to us and, frankly, to our customers how their inventories will develop. A lot of the stuff that has been shipped and not sold will, of course, not be able to be sold later in the year; if it's clothing, for instance, targeted for the spring or summer market. So it's very difficult for us to estimate what will happen. We guide overall for a contraction in volumes during 2020. And as we have said in our report, we believe the global market in the first quarter is down close to 5% in terms of demand. And now I'll let
Patrick Jany: Yes, coming to your -- the second part of your question. We are currently, as you know, executing a share buyback, which we have announced. And that will be finalized until the summer, which is part of the one already previously announced. When you look forward now in looking ahead for further dividends and further share buybacks, I think it is very important to mention, as you all know, that we are extremely committed to our credit rating. And therefore, that has absolute priority. And in the function of then, of course, cash development but also profitability, that then decides on the amount of dividends and so on, the payouts and return to cash of shareholders looking forward. So it is too early to guide on that, but clearly from the prioritization, which you were mentioning, the credit rating is absolutely key in determining the amounts.
Operator: And the next question comes from the line of Casper Blom from ABG.
Casper Blom,: Congrats with the solid results in the first quarter. And when I look at the global container market, I have to say I'm quite surprised and impressed that container rates have stayed this firm into the second quarter. Volumes are down. Bunker costs are clearly down also, but still rates have not declined very much. And obviously there is a high degree of discipline in the market right now. How confident are you that this discipline can be maintained for the remainder of 2020? That's my first question? Secondly, on your unit costs, which were down in Q1, with volumes expected to decline 20%, 25% in quarter 2, how should we think about your unit costs development both in Q2 and if you can give any flavor for the remainder of the year?
Søren Skou: Yes. Thank you. So on freight rates, we are certainly not going to give any predictions on freight rates, but what will -- what I would say is that there are a number of competitive dynamics that are different than what we have seen certainly under the global financial crisis but also during the -- in 2011 and in 2015 where the industry on the carrier side had quite brutal price wars. I think one of the most important things to understand is that the 3 large East-West alliances make it much simpler to adjust capacity in an agile way. In our case, for instance, when we operate between Asia to Europe, North Europe and Asia to the Mediterranean, 13, 14 strings per week, it's obviously a lot easier to take one out, as opposed to if you are a small VSA that operate 1 or 2 strings. Another thing is that the way the alliances are constructed today is that they are basically generally are these [2 MLs]. We're using the best ship for the best position, and this means that it's not us operating a string and then MSC operating another string and then we are swapping capacity. We're operating one network. We are paying for our own share of that, and therefore taking decisions to adjust capacity is very simple and easy and will -- quickly done. I think it's also a factor today that the industry has quite a low order book and are geared towards a low-growth scenario to begin with. That was not the case in 2008, '09, where the order book was massive and a lot of carriers had big blocks of capacity coming to them that they had to fill. I think we have a factor that is around the development of digital products and the transparency that freight rate indexes and so on have given. It means that we are less relying on customer feedback, [toll speak]; and more relying on our utilization and so on when we are setting prices. I think that I can say for Mærsk at least we are not pursuing market share. We are planning to grow in line with or slightly below the market, and we will do what we can to protect profitability. It seems to me that many other carriers are doing the same. And one of the reasons could be that there's generally quite weak balance sheets in the sector. And the fact that IFRS 16 accounting has been implemented has really highlighted the operational leverage of many companies in this sector. So plenty of things that are different today. In terms of unit costs. I mean we will, as I said, seek to match capacity to demand in Ocean. We will see cost savings on our SG&A, for sure. I mean we are not traveling. We're not having any events. We are not offering any customer dinners. All of these things adding up. And then of course, we will see in the second quarter a very significant reduction in fuel costs. They went up a lot in the second quarter. And as you can see from the numbers we have disclosed, we had an average cost per tonne of $551. That number will be a lot lower in the second quarter, mitigating a lot of the impact from the lower volumes.
Casper Blom: But just to follow up. Do you think it will be possible not to see an increase in unit cost with volumes down as much as you guide in Q2?
Søren Skou: I think that we will have to look at total costs. And the impact of fuel will be quite significant. And I do also believe that we will be able to contain, if you will, unit cost increases to a manageable level.
Operator: And the next question comes from the line of Marcus Bellander from Nordea.
Marcus Bellander: Two questions. The first one, a follow-up on your Q2 guidance. You said that volumes were down a little less than 20% in April, yet you're guiding for minus 20% to minus 25% for the entirety of Q2. And I'm just wondering why you expect this situation to get worse in May and possibly June because I think we're hearing other transportation companies suggest that April will be the trough. And second question: On Slide 15 you showed a -- it was a very good slide, by the way. You showed that the oil inventory gain was $141 million, but if I look in Mærsk Ocean, at their other income cost line, there's a $309 million positive item. And I'm just wondering what that $168 million difference consists of.
Søren Skou: Yes. So I'll let Patrick explain the last part of your question. On volumes, I think the -- what -- where we're missing a little bit of visibility is on the North-South trades because -- now the oil price did come down dramatically in the first quarter. That will have some impact in if -- in west coast of Africa, in Brazil, many other places where they are depending on the oil price for income. And that impact, we have not really seen yet, actually to the contrary or -- so we're a little bit uncertain how that will flow through. The pandemic impact is more clear now and, of course, mainly related anyway to the East-West trade. So hence our 20% to 25% guidance on volumes based on what we see in April and based on what we have seen in the first couple of weeks in May.
Patrick Jany: Going to your second question, on the hedging. Indeed on Slide 15 we tried to guide you a little bit on the main components here so that you get a feeling for the amplitude and the cost savings which we have done in Q1. Now if you look at the $141 million unrealized gain, they are indeed within the $300 million that you see in the disclosures, but again this is only the unrealized part, so I would not worry about the $300 million. We have actually reported every quarter in the past those elements. We have the gain in the others, and we have the costs on the cost of goods sold. So you always have to look at it on a net position. And the difference therefore, the missing $160 million, from your point of view is just the -- to be offset in the cost of goods sold, like it was in the previous quarters. Typically, as we were buying less and therefore having less coverage between the point where MOT buys the fuel and then when it delivers it to Ocean, the amounts were very small. Now as we have increased this activity because of IMO 2020 and because of the huge volatility of the oil price in Q1, these amounts in Q1 have been higher than normal, but really it's all about $140 million which is a unrealized gain because the oil price came down. Therefore, we have a loss in the inventory which will be reflected in Q2 but, as we mark to market, a corresponding really gain on the hedging part which we report in Q1. So it's just a timing difference. It will even out in the next quarter, and therefore I think it's not something to be constantly subtracted or added to the results.
Operator: And the next question comes from the line of Neil Glynn from Crédit Suisse.
Neil Glynn: Two for me, please. The first one, back to the subject of SG&A costs. This has obviously been a theme for a while. You're focused on reducing that through digitization. Just interested. At this point, can you give us a bit more color on how ambitious you will be on SG&A reduction efforts? And is it possible to help us understand the road map to reducing SG&A costs? What exactly will you be doing over the coming months? Is this further digitization, or are there other aspects to SG&A cost takeout? And then the second question. And in a situation where you emerge from this crisis with your balance sheet intact, which certainly putting the pieces together your management of capacity and costs and CapEx suggests that should be the case, do you see this as an opportunity to enhance your position with customers relative to weaker competitors? Either on the container side or indeed from a broader logistics perspective, might this influence your bolt-on M&A strategy for assets that maybe become more available?
Søren Skou: So if I take the latter part of the question first. I think we have seen a number of customers come to us during the last quarter looking for new solutions on landside logistics, recognizing the strengths of the company and the fact that we are truly global organization with thousands of people on the ground in pretty much every market around the world. And we have taken those opportunities to really build on our integrator strategy, but obviously in the coming quarters we would like to see that translate into top line growth on the Logistics & Services side. On SG&A, we have some -- we basically have a couple of different effects going on here. So one, we can call the pandemic effects, which are simply effects from less activity of all kinds. Then we have a number of, if you will, planned efficiency measures that we have planned throughout the year and that we are executing on as we go along. And then of course, what we are seeing is a radical uptick in our digital interactions both on maersk.com and on our Mærsk app or mobile app. And of course, as customers self-serve, increasingly self-serve, it will mean that we at least don't have to add more people in line with volume. And we expect again our SG&A costs in the coming years to have a slight downward-sloping trend contributing to the usual target we have of 1% to 2% unit cost reduction per year.
Neil Glynn: Maybe just to revisit your first answer. Is the current environment a time to be buying distressed assets? I know you've obviously done a small bolt-on acquisition at the start of April. Or does the current situation make you more hesitant and suggest giving it a little bit of time before making further decisions?
Søren Skou: So let me start by saying that, as I've said many times now, we have the size we need to have on the carrier side to be competitive, have the competitive advantages and scale and so on, so any acquisitions on our part in the coming periods will be on the landside and could be both in logistics and it could be on the terminals side. We all believe that we would like to see the second quarter as well and have some kind of visibility to when the recovery starts before we get aggressive on buying companies, but there might be a small situation here and there that we can pursue. But we certainly haven't given up on. But we certainly haven't given up on the part of our strategy that have us do some more acquisitions on the landside, but it's probably not right now.
Operator: And the next question comes from the line of Lars Heindorff from SEB.
Lars Heindorff: Also a question regarding the cost development in Ocean, for my part. Now with the capacity reduction that you appears to have planned now for the second quarter, do you expect that -- excluding bunker, that total costs in Q2 will be down year-on-year?
Søren Skou: So you mean net or before any changes to bunker. I'm not exactly 100% sure what you mean.
Lars Heindorff: Yes. Well, yes, the costs, the total cost base that you have excluding bunker. Now with the reduction that you have in the network or what you're planning, appears to be planning in the network, do you expect that -- those costs to be down year-on-year?
Søren Skou: Yes, we do, absolutely, absolutely. And you can kind of look at it on the slide that we were just on, Page 15, where you'll see that we were actually able to reduce container handling and network costs, if you will, quite substantially. And that will be our -- that will also be our strategy going forward.
Lars Heindorff: Okay. And then the second question is regarding what I normally refer to as other revenue, including hubs that you have also in Ocean. My sort of initial stance would have been that -- with the reduction that you have and the changes and the willingness apparently to concede market shares, that you will see a gradually lower share of that other revenue compared to the freight revenue that you have, but in the first quarter it was actually up quite a bit. How should we think about that other revenue both -- maybe you can explain the first quarter and also what you expect for the coming quarters.
Patrick Jany: Yes. Coming on -- back on your question here. With the increase you see in Q1, as we disclosed as well in the quarterly report, is mainly driven by MOT and which had a quite a significant increase in activity because we also helped not only ourselves but the industry to be able to have sufficient supply of the low-sulfur fuel. So that increases bulk in activity, but that is a temporary element we will expect. And we will revert to more normal or historical figures in the future.
Operator: And the last question comes from the line of Mark McVicar from Barclays.
Mark McVicar: Two quick questions really. First of all, to come back on the issue of costs in Ocean and terminals, is there a way we can think about this in terms of fixed versus variable costs? So if you take the costs between revenue and EBITDA, yes, if the volumes fall by 20% to 25% in both those businesses, how much of the costs naturally falls away with the volume? And how much is fixed until you do something about it?
Søren Skou: Yes. So if we take Ocean first and go back to the bridge. We're trying to kind of help you a little bit here and saying that -- so you know we reported volumes down 3.2 percentage points for this quarter. That's results in a negative volume effect of $125 million. And you can probably multiply that 5 or 6x to get to the impact on the results in Q2 if we end up with 20% reduction. Then of course, you have to factor in also that the fuel price will not be a negative quarter-on-quarter here. It will be a positive. And because we had increasing fuel prices in the first quarter because of the self-supply strategy and the swapping of the oil price, we will see immediate effect of the lower fuel prices in Q2 to the tune -- I mean quarter is not over yet, but I would expect that we would be spending somewhere around half of the absolute dollar amount on fuel in Q2 than we did in Q1.
Mark McVicar: Okay. And how should we think about that same dynamic in terminals?
Søren Skou: Yes. In terminals we clearly will see a negative impact of the -- of lower volumes if we end up -- yes, 20% to 25% lower volumes will clearly be negative for terminals. We cannot compensate in the same way in terminals. The fixed costs is around 50%. And the other 50% is the costs of people, and we can do something about that, but it takes time.
Mark McVicar: Okay, okay. And my second question or final question is just so I totally get this. So the bunker price and the freight rate effects, plus or minus, not very much offset each other in Q1, yes? Through the fuel contract structures that you put in place last year, if bunker goes down, does it not have the equal and opposite effect on freight rates? Is it not passed through in the surcharge mechanism?
Søren Skou: On the freight rates, you will -- we have 2 types of, if you will, contracts. So we have a spot business or short-term business, and we have our long-term business. For the long-term business, basically what we were able to do on IMO 2020 was that we were able to, if you will, increase the freight rates with the absolute amount required to cover for the additional costs in Q1 of higher-priced fuel. Now in the coming quarters, those contracts will adjust up and down as the fuel price changes. For the other half of our business, the short-term business, where the price is really more driven by demand and supply, what will matter is supply and demand. And you can read every Friday in the Shanghai freight index how that is going. So far, we -- right now, we -- I think the freight index is 7%, 8%, 9% higher than the same period last year on the short-term business. And we -- you will have to make your own predictions about how that is going to play out and irrespective, I think, of the fuel price. The freight rate is the -- really the driver of the second quarter result -- or will be the driver of the second quarter result because we carry 6 weeks of inventory on the fuel side. So now we basically know what our fuel costs will be for the quarter.
Mark McVicar: Yes, but you would expect over time within the contract business the freight rate to adjust to the lower fuel price, yes?
Søren Skou: Yes, that was what I said. They all have -- the half of our business that are contract, longer-term contracts, they all have fuel adjustment clauses. And I mean we fought for 2 things in the IMO 2020 discussions with our customers. Basically one was to get higher freight rates to begin with so that we recognize that in the first quarter of 2020. The actual costs for the carriers would -- for us would be much higher. And secondly, of course, we wanted to get the fuel adjustment clauses -- increase the number of contracts that have fuel adjustment clauses. And we are now well into the 90s of all contracts having fuel adjustment clauses, so it will become less of a parameter for us. It will go up and down with whatever happens to the fuel price.
Mark McVicar: Yes, sure, okay. So we need to think as much more about the sort of the underlying freight rate relative to your nonfuel costs in terms of the balance between the two, yes.
Patrick Jany: Yes, indeed.
Operator: I will now hand it back to your speaker.
Søren Skou: Yes. Thank you. It is indeed extraordinary times for us and highly unusual that we don't have visibility and are not able to provide guidance for the full year, but I think that is a situation we are not the only company that are in. We have provided with some guidance on volumes in this quarter. And obviously, the impact on profitability, we will have to see. What I can say is that we actually had a reasonable April from a profitability point of view due to the reasons that we just discussed on the cost side and our ability to benefit from the lower fuel costs and our ability to adjust our costs downwards. We will basically continue to be agile on capacity. It's our ambition to match capacity to demand, and we believe we can do so. We will drive the operational efficiencies that we can in the coming quarters. And I think that we are off to a reasonable start to the year, all things considered. And the lower volumes will hit us and it will hit our business, but I will say, so far, so good across the whole group. So with that, thank you, and we look forward to talking to you next quarter.